Operator: Welcome to the Maiden Holdings Second Quarter 2015 Earnings Conference Call. [Operator Instructions]. I would now like to introduce your host for today's conference Mr. Noah Fields, Vice President of Investor Relations. Sir, you may begin.
Noah Fields: Good morning, and thank you for joining us today for Maiden's second quarter 2015 earnings conference call. Presenting on the call today we have Art Raschbaum, Maiden's Chief Executive Officer; along with Karen Schmitt, our Chief Financial Officer. Also in attendance today is Pat Haveron, President of Maiden Reinsurance Limited. Before we begin, I would like to note that the information presented here today contains projections or other forward-looking statements regarding future events or the future financial performance of the Company. These statements are based on current expectations and future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially from these expectations. We refer you to the documents the Company files from time-to-time with the Securities and Exchange Commission, specifically the Company's Annual Report on Form 10-K and our Quarterly Reports on Form 10-Q. Some of our discussions about the Company's performance today will include reference to both non-GAAP financial measures and information that reconciles those measures to GAAP as well as certain operating metrics, and may be found in our filings with the SEC and in our news release located on Maiden's Investor Relations website. Please also note that unless otherwise stated, all references to common share data in today's discussions are on a diluted share basis and comparative comments will refer to Maiden's results in the second quarter of 2015 relative to the corresponding period in 2014. Finally certain reclassifications have been made for 2014 to conform to the 2015 presentation and have no impact on net income and total equity previously reported. I will now turn the call over to Art.
Art Raschbaum: Thank you, Noah. Good morning, welcome and thank you for joining us today. For the second quarter of 2015 Maiden reported operating earnings attributable common shareholders of $28 million and diluted operating earnings per share of $0.37 similar to the same period last year. During the quarter investment income grew significantly from the first quarter as we put much of our accumulated cash to work while continued revenue growth remained strong at 16.4%. Despite adverse development in the U.S. underwriting portfolio, our diversified segment results this quarter demonstrate the resiliency of maintenance lower volatility, highly efficient business model and strong balance sheet. Maintenance operating return on equity was 12.2% compared with 13% operating return on equity reported in the second quarter last year. Importantly continued growth in invested assets and a focused on improved underwriting performance should further benefit operating returns and earnings in the future. Looking for a moment at the first six months of the year, we posted an operating return on equity at 12.1% compared to 12.6% in the first half of last year and operating earnings per share were $0.71 in the first six months of 2015 compared to $0.70 in the first six months of last year. Focusing on premium production for the quarter, overall gross premiums rate increased 20% well net written premiums grew 16%. AmTrust business drove the increase in premiums with net premiums written increasing 30% as we continue to benefit primarily from the impact of the Tower acquisition and continued organic growth, while we expect the growth rate from the Tower acquisition to moderate, we believe that AmTrust continues to have strong opportunities to profitability expand their business. In the Diversified segment net premiums written fell 15% reflecting the impact of the acquisition of a large U.S. client. Going forward the company's new parent will not require quota share support. As we have indicated in the past it's not unusual to work with our clients to develop capital support solutions that become unnecessary as their balance sheet builds or in this case they merger with a larger company even with this customer loss year-to-date U.S. net written premiums have grown slightly. We continue the benefit from expansion of existing client relationships an disciplined additions of new clients as we maintain our focus on serving the needs of regional insurers and within this portfolio our focus remains on expanding the highest margin segments that we underwrite today. Internationally the continued influence of a weak euro adversely impacted our international insurance services or IIS business revenues. As you know remember this is a highly differentiated business serving the branded consumer insurance needs of automotive manufacturers. In addition to receiving service fees as a reinsurer Maiden partners with insurers to deliver high quality insurance products. Notwithstanding the euro impact we expect further growth in the IIS business to be driven by new business opportunities in the auto OEM space with new partnerships coming online. We have been successful in the quarter adding several new auto OEM relationships and are in active discussions with several additional prospects. Furthermore our strategy to expand our auto OEM payment protection insurance or PPI opportunities is well underway. All these opportunities should drive expansion of IIS revenue and earnings toward the end of 2015 but more meaningfully in 2016 and beyond. Separately and also in Europe, we’re very pleased with market reaction to our differentiated capital solutions business model. As you may recall in addition to offering collateralized reinsurance solutions we’re working along with our majority owned subsidiary insurance rated to recapital and driven by emerging capital needs that are created with the implementation of risk based regulatory capital requirements or Solvency II. We’re actively entertaining a number of opportunities to provide blended capital solutions. Today we occupy a very unique position in the capital solutions market with both collateralized reinsurance and subordinated debt products. Maintenance combined ratio increased in the second quarter to 99.2% up from 98%, the AmTrust segment performed well with a combined ratio of 95.2% for the quarter, an improvement versus 95.7% largely reflecting changes in business mix. We continue to benefit significantly from their profitability growth. The diversified reinsurance segment posted a combined ratio of 104.1%, higher than the 97.7% recorded in the second quarter last year and primarily due to adverse development in maintenance U.S. excess commercial auto liability reinsurance book. Although we see more modest impacts in the past several quarters Maiden experienced a significant increase in client reported case reserve increases in the quarter. While we’re completing a comprehensive review of all outstanding commercial auto access accounts to further determine the source of this activity. We reacted prudently and swiftly from a claims actual and underwriting perspective. As you may be aware other participants in the U.S. commercial auto insurance industry have also similarly being experiencing elevated loss activity over the past several quarters. In Maiden's case activity in the quarter was largely isolated within our excess commercial auto portfolio where we have seen a greater issue with severity rather than frequency. Notwithstanding the performance of the excess commercial auto portfolio, the balance of the U.S. underwriting portfolio performed with an expectation for the quarter. In our Bermuda underwritten IAS European auto portfolio results have been improved from the last quarter, you may recall that we experienced some large loss activity in our German and UK auto insurance portfolio in the first quarter, performance returned to target levels this quarter. Across Maiden we remain committed to maintaining underwriting discipline while leveraging our significant competitive advantages to grow our business profitability, notwithstanding the adverse impact in the quarter we’re confident in our ability to strength returns and expand our business going forward. I would now like to turn the call over to our Chief Financial Officer, Karen Schmitt to review the second quarter in greater detail. Karen?
Karen Schmitt: Thank you, Art. Good morning. As Noah said earlier unless otherwise stated all references to common share data are in a diluted share basis in comparative comments will refer to maintenance results in the second quarter 2015 relative to the corresponding period in 2014. Maiden reported second quarter 2015 net operating earnings of $28 million or $0.37 per diluted common share which were each essentially equivalent to the comparative period. Net income attributable to common shareholders with $21 million or $0.27 per diluted common share compared to $26 million or $0.34 per diluted common share in the second quarter of 2014. The main driver of the difference in the net income this quarter versus last year was a foreign exchange loss of 5.3 million this quarter versus almost at $1 million gain in the second quarter of last year. This loss offset a portion of the foreign exchange gain from the first quarter as weakening in both the euro and British pound during the first quarter partially reversed causing the non-operating foreign exchange loss during the quarter. Losses from our run-off operations were also smaller in the second quarter of 2015 versus the second quarter of 2014. Growth premiums written in the second quarter of 2015 increased 20% to 674 million from 560 million. Net premiums written totaled 630 million in the second quarter of 2015, an increase of 16%. The diversified reinsurance segments net premiums written totaled $145 million. Within the diversified segment the USB business premium volume was impacted by a single large customer that was acquired but U.S. premiums are still up on a year-over-year basis. Premium levels in the international business were again negatively impacted by foreign exchange movements resulting from the strong U.S. dollar and are down significantly but are expected to produce strong growth in the subsequent quarters due to the in-process initiatives or at management. In the interest reinsurance segment net premiums written increased 30% to 485 million reflecting continued business growth resulting from AmTrust acquisition of Tower Group business as well as organic growth. Net premiums earned 609 million increased 15%. In the diversified segment, net premiums are in decrease 9% to $185 million. The AmTrust reinsurance segment earned premiums were up 31% to 425 million. The combined ratio totaled 99.2% in the second quarter of 2015 compared with 98%. The diversified reinsurance segments combined ratio was 104.1% in the second quarter of 2015 up from 97.7%. The higher diversified reinsurance segment combined ratio was due to adverse development in U.S. excessive loss commercial auto business concentrated in the 2011 to 2013 underwriting years. We have been focusing on this line in recent quarters and continue to evaluate the higher level of reported losses by our [indiscernible]. A comprehensive review of all accounts with significant commercial exposures is ongoing and will be completed during the third quarter. The small redundancies in other lines of business provided a modest offset to the commercial auto development with total net adverse development of $14 million recognized in the quarter. The AmTrust reinsurance segment reported a combined ratio of 95.2% in the second quarter of 2015 compared to 95.7% in the second quarter of 2014. The improved combined ratio for the AmTrust reinsurance segment is largely due to the higher proportion of earned premiums coming from AmTrust very profitable workers compensation business. Overall for the quarter net adverse development from operating segments added 2 points 3 points to the combined ratio. Included in our combined ratio is a non-operating loss from run-off operations of 0.3 points as well as an operating expense ratio of 2.7% the lowest quarterly ratios since 2009 This very efficiency operating expense ratio provides an advantage in an increasingly competitive market. In the second quarter net investment income with a record $35 million, an increase of 25%. During the second quarter two securities were called which increased net investment income by almost $6 million. The average yield on the fixed income portfolio excluding cash is 3.4% with an average duration of 5.1 years. The new money yield on fixed maturities in the second quarter was 2.74% with an average duration of 6.2 years. Including cash the average duration is 4.7 years versus an average duration of liabilities of 4.4 years. Total investments increased to 3.8 billion compared to 3.5 billion at year-end 2014. Operating cash flow was $208 million during the quarter up 127% compared to 92 million. Cash and cash equivalents were 309 million as of June 30th, as compared to 641 million at the end of the prior quarter. During the second quarter we actively invested $769 million in high quality corporate bonds in government agency, mortgage backed securities compared to total purchases of a $116 million during the first quarter. The quarter end cash balance reflects our strong cash flow including significant premiums received at the end of the quarter. As we continue to generate strong cash flow and invest new cash our earnings run-rate should continue to increase. Total assets increased 10% to 5.7 billion at June 30, 2015 compared to 5.2 billion at year-end 2014. Shareholders' equity was 1.2 billion down 1% compared to year-end 2014 due to unrealized losses in the investment portfolio during the quarter at higher interest rates caused lower mark to market valuations. Book value per common share was $12.35 at June 30, 2015 or 3% lower than December 31, 2014 affected by the lower investment values. Total capital resources remained strong at 1.58 billion, a decrease of 1% since year-end. I will now turn the call over to Art Raschbaum for some additional comments.
Art Raschbaum: Thank you, Karen. I would like to provide you with an update on market conditions and then provide some closing thoughts. In our Diversified segment our IIS business in the UK is benefitting from improving primary moto-race which according to industry sources have increased by approximately 5% and this is the first significant increase in the UK since 2012. Rates remain stable in the German personal auto market where the majority of our IIS business emanates. In the U.S. the primary commercialized insurance market is increasingly more competitive primary insurance rates in across the board seem to be flattening for commercial lines in general, despite that trend other than the commercial auto segment primary loss cost [ph] trends remain relatively benign. Notwithstanding this broader trend in the AmTrust segment we do see continued pricing strength in many of their niche markets. Within the reinsurance sector in our target market segment of lower severity business competition is continuing to intensify, while we have been able to hold the majority of our renewal portfolio new client development in this environment has been more challenging. That said we have added several new customers and are in active discussions with a number of prospects. We believe that clients and prospects still value differentiated solutions and remain confident in our ability to expand our portfolio in a disciplined manner. Importantly, we continue to experience growth from existing client relationships. As we continue to work through the second half of the year, we remain focused on monitoring and working to mitigate the challenges we've seen in our US commercial autoliability portfolio. Importantly, there are number of reasons for optimism as our investment portfolio continues to benefit from an increasing base of invested assets, efforts to win OEM business in Europe are gaining momentum, while the pipeline of opportunities for deals in our capital solutions business is also increasing. Ahead of the fall conferences in Europe, we're in active discussions on a number of opportunities and while capital solutions decisions ahead of – by company's continue to develop, we believe we're positioned to advance made business strategy as we enter this key period. In the US we've been successfully expanding established client relationships and are diligently pursuing new business relationships in a discipline manner, mainly diverse, lower volatility, non-catastrophe reinsurance model should continue to benefit from efficient capital utilization and growing premium levels in both of our business segment. From a management perspective we remained focused on providing excellent products and services to our customers while strengthening underwriting performances within eye and ultimately enhancing the value we deliver to our shareholders. This concludes our prepared remarks. Crystal, could you please open the line of Q&A.
Operator: [Operator Instructions] And our first question comes from Randy Binner from FBR Capital. Your line is now open.
Randy Binner: Good morning, thanks.
Art Raschbaum: Good morning.
Randy Binner: So on investment incomes, I'm just going to start with some income statements. The net investment income was quite strong, was there unusual one-timers in there like bond-free payments or anything that made that number higher than it otherwise would have been?
Karen Schmitt: Well, we had call premiums of about $6 million, $5.9 million during the quarter. And we've had those from time to time, we had none of them in the first quarter but we did have some substantial call premiums also in the fourth quarter. So they tend to be a little lumpy, I wouldn’t call them necessarily onetime but they are certainly not every quarter.
Randy Binner: And then, did you cover on the script of how much you have to invest still because I think that you had in access balance sheet – staying from the low rate environment in the first quarter and then do you still generating a lot of free cash. So is there – are you fully invested or do you still have excess cash put into the portfolio?
Karen Schmitt: We ended the quarter with a little over $300 million of cash, but we still have some more cash to invest, and some of that was – we had pretty substantial balance that's paid at the end of the quarter, so we'll continue to get that invested.
Randy Binner: So when you say $300 million cash, that's $300 million cash in general or $300 that needs going to the portfolio, that's not just buffer.
Karen Schmitt: Well, that's the total balance, I mean we won't go down to zero but we did invest over $750 million during the quarter. So we'll continue to invest the majority of that $300 million but – and we also expect continued strong cash flow during the third quarter as well.
Randy Binner: Much – it's like if you go back to this time three months ago when we were on the phone and you guys have held off on investing, how much better like basis points would you say that the new money investing environment is?
Karen Schmitt: Well, we ended up at 2.74% to leave this quarter, and that was really a mix, I mean we had some higher yielding on maturities and some lower. I think we were in that 2.50% or maybe even a little bit lower last quarter, so at least 25 basis points and I think probably towards the end of that quarter, even better.
Art Raschbaum: Yes, that's kind of a metric Randy, if you think where the 10-year treasury was, as it's trough in that quarter, I think it was running 1.80% or somewhere in that range and now it's rebounded to 2.20% and higher. So that's 40 basis points movement just in the risk free rate.
Randy Binner: I understood. And then on that factor, can you breakout exactly how much in millions of dollars there was – how much headwind there was this quarter for just for premiums?
Karen Schmitt: I mean for diversified, this quarter was about $3 million and probably about $4 million in the first half of the year. So about $7 million year-to-date for diversified.
Randy Binner: Okay.
Karen Schmitt: And then there also an impact on AmTrust as well.
Randy Binner: How much was it on AmTrust?
Karen Schmitt: AmTrust this quarter was $17 million.
Randy Binner: I guess I'll leave it there. I'm sure people hit on the case reserves, so I'll drop back in the queue. Thanks a lot.
Art Raschbaum: Thank you.
Karen Schmitt: Sure, thank you.
Operator: Thank you. Our next question comes from Ken Billingsley from Compass Point. Your line is now open.
Art Raschbaum: Good morning, Ken.
Karen Schmitt: Good morning, Ken.
Ken Billingsley: Hi, good morning. The first question I wanted to ask it regarding t M&A event with the customer, last quarter I know some of it had issues with the net premiums earned patterns versus what was written and I know I made an adjustment but it seems a little off still this quarter on the diversified segment. Can you talk about how much premium written by polled because of the M&A event?
Karen Schmitt: Yes, I mean it was a large account in the US, it was an account that was written on a loss recurring basis, so written premium equaled earned premium. So as that came out, it affected the earned immediately as opposed some at being on their other contracts where we may terminate and they runoff and we continue to have premium from them, that was not the case with this one. And this was the account we mentioned last quarter that was restructured and we essentially helped them work into this acquisition. So I don't think we can give absolute numbers but it was a decent size that count for the US. That being said, on year-to-date basis, the US is still modestly up from a written premium standpoint.
Ken Billingsley: So essentially the polling of this account would not have affected net premiums earned this quarter?
Karen Schmitt: No, it definitely did affect net premiums earned this quarter.
Ken Billingsley: Yes, definitely did. But then maybe based on the premiums written that you announced for this quarter, not from premiums written in prior quarters?
Karen Schmitt: Well, I mean, the premiums written in the prior quarter and premiums written year-to-date are slightly up. In the US a contract can be written on the risk attaching basis or losses recurring basis. So when some of the contracts that are written do not immediately affect earned premium, they affect earned premium overtime. This particular account because of the way it was written, when it comes out of written, it comes out of earned immediately as oppose to writing it and then having it earn out over a couple of years. This one has the same impact on earned premiums, written premium. That make sense?
Ken Billingsley: Okay, it does.
Karen Schmitt: From the business that replaced it actually will earn that overtime as opposed to earning immediately.
Ken Billingsley: Then on the commercial auto, you said you're doing, so you've gone in and initially taken the charge but there is a review going on that will be completed in the third quarter. So first of all, I'm assuming can we expect further charges from this or what specifically is being reviewed and where do you see the direction of reserves going?
Art Raschbaum: Yes, I would say that if you think of the activity in the quarter, we saw an elevated level of reported additional reserves on – for the most part existing cases. So clients that may have looked favorably, initially on their position on a particularly claimed now feel less favorable and have increased their reserves. What was unique about the quarter was that we saw a lot of this activity in that quarter, probably historic levels. And so that causes us to kind of question, what catalyst drove that. We've assumed that it's all development, that it's all coming through and reflecting in adverse view, the think that you don't know is whether in some cases clients might be changing process to try to get to full development faster to recognize t ultimate quicker. So our review process will be – that's really try to understand the source of it. Our assumption in establishing a reserve was not that – this is an acceleration, we essentially assumed it was all real and to be developed. So – what we want to understand is really kind of what is the catalyst, are there any elements that we're missing. Equally important, we want to make sure that we're influencing forward pricing on our business to reflect those effects as well, but I think it's premature to say that this is either excess development or not enough. We feel pretty good about our reserve position based on what we see in the quarter and obviously we'll see what the next quarter brings in terms of development. As we said, we're not unique in that respect but do think we are reacting as fast as we see the information.
Ken Billingsley: And if I recall correctly, you said this was more of a severity issue, not a frequent, from 2013?
Art Raschbaum: It's actually from – sort of 2011 to 2013, those three years seem to be the focal years. And it really there – for the most part their claims that have been noticed to us for quite some time and clients are sending us notices with increasing their reserves based on their assessment of their ultimate liability.
Ken Billingsley: And where is the severity specifically coming from? I mean is that from a damaged part, I think we're – on a liability side, where specifically is the severity increasing?
Art Raschbaum: It's all on the liability side, and a fair amount of this is coming from commercial trucking.
Ken Billingsley: And as the cases are settling and the quarterly things that are going to court or has there been some kind of shift?
Art Raschbaum: Because we're accessed, most of these end up being litigated claims, most of the claims that hit the excess layers are likely litigated. It really is – when claims professionals look at individual claims, they monitor and follow them. There may be certain facts that develop, that cause them to feel that their liability is growing, and so that will adjust their case reserves and that's what we monitor and react to. We also do audits of our clients to see how their reserving process is developing as well, so we kind of take the accumulative effect of those activities and react.
Ken Billingsley: And, just last question on just this topic here from – are more of these going to claims than maybe what you expected and is it one or two customers or is that broad-based across all of your customers?
Art Raschbaum: Yes, it's more broadbased. I wouldn’t say it's every customer, but it's certainly more than a handful. I think what we've talked in last couple of quarters, we've seen significantly smaller movements, I think we were talking in the range of $2 million and $3 million in the last couple of quarters. So this is much more significant, and this is from more than one or two customers but it's certainly not the entire universe of commercial order that we write.
Ken Billingsley: But is the percentage of claims going to litigation much higher or is it just besides the settlement?
Art Raschbaum: I think it's more the size, we're not seeing. I mean the frequency was already established and defined. So for the most part these aren't new claims coming in, they are just higher reserve estimates for outstanding claims. And the majority of these are still open and still in trial process with settlement discussions, so it's sort of interim evaluation of case reserves.
Ken Billingsley: Great. So moving on, this I guess is somewhat connected. So on the AmTrust, was asked – would they be interested in giving in commercial auto given the problems that are and they seem to move in when there are issues. If they were to expand in the commercial auto, would that fall under your existing contract, it would just flow into business that you would except from them or would this be something that you would have to improve?
Art Raschbaum: No, it would flow into the existing contract and frankly, we're writing commercial audit a day, it reflects what we're seeing and kind of the information, in fact, some of these accounts that have been involved, we've taken rate actions and renewal them. In a couple of cases, we've insisted on stronger rates and the client has chosen to sort of accept a different rate structure from competitor. And that's fine, that will happen but we want to be disciplined about this process. So the important thing for us is not just to get the reserve right but also get the pricing right prospectively and we think we are reacting effectively. I do think – and I think there have been a variety of customers that are reacting to this as well and raising rates. So I think we look at client rating activity to maybe sure that we are comfortable that the pricing that we have reflects their pricing activity but also what we believe they needed loss cost or so. We wouldn't shy away from AmTrust increasing their position in the space.
Ken Billingsley: Great. Thanks for taking my questions.
Art Raschbaum: You're welcome. Thank you.
Operator: Thank you. And I'm showing no further questions from our phone lines. I would now like to turn the call back over to Noah Fields for any closing remarks.
Noah Fields: Thank you very much to everyone for joining us today. And we look forward to speak with you in the future. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.